Operator: Good morning everyone. My name is Sarah and I will be your conference operator today. At this time, I would like to welcome you all to the Rogers Corporation 2012 Fourth Quarter and Year End Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I’d now like to turn the call over to our host, Mr. Bruce Hoechner, President and CEO. Sir, you may begin your conference.
Bruce Hoechner: Thank you, Sarah. Good morning everyone. Thanks for joining us today. Slides for today’s call can be found on our website’s Investor section along with the news release that was issued yesterday. With me today are Dennis Loughran, Vice President, Finance and Chief Financial Officer and Bob Daigle, Senior Vice President and Chief Technology Officer. I will now turn it over to Dennis to dispense with the formalities.
Dennis Loughran: Thank you, Bruce. I would like to point out to all our listeners that statements in this conference call that are not strictly historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and should be considered as subject to the many uncertainties that exist in Rogers’ operation and environment. These uncertainties include economic conditions, market demands, and competitive factors. Such factors could cause actual results to differ materially from those in any forward-looking statement. Also, the discussions during this conference call can include certain financial measures that were not prepared in accordance with generally accepted accounting principles. Reconciliation of those non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the slide deck for today’s call that can be found on our website’s Investors section. I will now turn it back over to Bruce.
Bruce Hoechner: Thanks Dennis. On slide four, you will find an overview of our fourth quarter performance by market and megatrend. Rogers continues to be well diversified by market as you can see by the pie chart. The markets represent our megatrend focus areas of internet growth, mass transit, and clean technology drove 55% of net sales in the quarter. And we continue to believe they will help accelerate the company’s growth going forward. In markets supporting internet growth, consumer demand for higher functionality, speed, and bandwidth drove sales growth for Rogers Solutions in both internet devices and infrastructure applications with sales up 11% quarter-over-quarter Q4 of 2012 versus Q4 of 2011. In mobile internet devices, we continue to have a market leading position in cushioning and sealing for tablet computers and smartphone applications. In internet infrastructure applications, sales of Printed Circuit Materials used in base station power apps as well as smart antenna systems were up substantially due to wireless telecom network builds. In mass transit, sales were basically even with the same quarter of last year. China’s Ministry of Rail recently announced aggressive plans for increasing rail investment, which may drive higher demand for our Power Distribution Systems for high-speed rail traction motors as programs begin to ramp up later this year. Still impacted by the global slowdown of capital and infrastructure spending, clean technology sales were substantially lower than Q4 of last year. Sequentially, however, we saw improvement in demand for some clean technology applications versus Q3. We have also seen an increase in our order backlog for industrial motor drives and other applications which would seem to indicate growing customer confidence in these markets. In other markets, we achieved double-digit growth quarter-over-quarter and sequentially for our innovative cushioning and impact protection materials for personal protection. Growing adoption of automotive safety sensors continued to boost demand for Rogers’ high-frequency printed circuit materials with sales into this emerging technology area up significantly versus Q4 of 2011. More stringent safety requirements are being adopted in Europe in order for cars to receive the five-star safety rating. As radar systems will help automakers achieve these coveted ratings, we believe the more demanding requirements will accelerate adoption of these systems. Moving to slide five, we continued to build a solid pipeline of design opportunities across all three megatrend categories. At the end of the fourth quarter we were working and 716 major design opportunities with 427 design-in wins. During the quarter we saw many programs move out of design and into production. Our Q4 2012 opportunity pipeline compares favorably versus Q4 2011, when we were working on 623 opportunities with 362 design-in wins. As the materials technology supplier of choice to many of our world leading innovators, we remain focused on partnering with customers in their design process for next generation products. Turning to slide six, our net sales were $124.2 million, a decline of 1% over last year’s fourth quarter and 4% sequentially. Q4 2012 versus Q4 2011, our two largest business segments performed well with High Performance Foam revenues up 7% and Printed Circuit Materials up 4%. In Power Electronics Solutions, our power distributions systems business was up 8% due primarily to strong demand in the automotive market. This growth was offset by a 23% decline in the Curamik substrates portion of our business as clean technology investments continued to be weighed down by the ongoing European fiscal crisis and clean technology regulatory and policy uncertainties in the U.S. and other markets. Looking at the businesses sequentially versus Q3 2012 High Performance Foams demand was relatively flat due to some seasonality and a shift in display technology that reduced overall cushioning content per device for some platforms. Printed Circuit Materials revenues were down 11% due primarily to year end inventory corrections to match demand in LNB satellite TV applications. In the Power Electronics Solutions segment, we saw improvement over Q3. Power Distribution System sales were up 11% as demand continued to ramp in several key markets related to automotive and clean technology. Revenues for Curamik Electronic Solutions were basically flat over Q3. I will now turn it over to Dennis to report our financial highlights. Dennis?
Dennis Loughran: Thank you, Bruce and good morning everyone again. As reported in the press release we achieved earnings from continuing operations of $0.30 per diluted share, which includes net special charges of $0.28 per diluted share. The press release provided a descriptive breakout of those special charges – of those net special charges. However, I would like to provide a little more clarity in relation to the impact on our income statement for the fourth quarter. The $0.28 per share impact is included in our fourth quarter income statement as follows. Cost of sales was impacted favorably by $1.7 million related primarily to the favorable $2.1 million inventory valuation, offset by $0.4 million of Hungary move related costs. Selling and administrative expenses included one-time charges of $2.95 million related to the asbestos liability adjustment and $0.8 million related primarily to the Hungary move. The restructuring and impairment line included $4.1 million in charges related primarily to the Hungary move and Bremen closure. In other income and expense two impacts offset each other with the FX and copper hedge valuation declines of $1.1 million, offset by $1.1 million gain booked on the disposal of equipment related to the Bremen facility closure. Our underlying non-GAAP result of $0.58 per diluted share was in line with the upper end of our recently restated Q4 guidance. Although it did represent a shortfall to our original expectations for the quarter, this shortfall was related almost exclusively to loss contribution on lower sales as we were able to maintain cost at expected levels with our 2012 streamlining efforts delivering the estimated $5 million in profitability improvement we projected allowing us to achieve approximately $11.5 million in improved profits in 2012. Turning to slide eight, you will see that our streamlining activities continued on pace and made significant favorable impact on our results with $5 million in quarterly cost benefit. Of that total, about $3 million benefited manufacturing margin and $2 million represented lower SG&A. We believe that this quarterly benefit will continue into 2013 delivering a total of $8.5 million in improved profitability over what we achieved in 2012. In addition, we will start to realize annualized benefits of approximately $1.4 million starting in the second quarter of 2013 related to the shutdown of the manufacturing facility in Bremen, Germany and the closure of the composite materials business. We are also making good progress related to the relocation of our Curamik inspection operations from Germany to Hungary. This move will begin to favorably impact our results in the fourth quarter of 2013 and we expect to achieve approximately $2 million in annual benefits as a result of this move. On slide nine, our gross margins for the last five quarters are depictive with the fourth quarter of 2012 at 34.4% as compared to 29.7% reported in the fourth quarter of 2011. Approximately 300 basis points of this improvement is the result of $3 million in streamlining benefits in our operations for the quarter. An additional 170 basis points have been increased was due to the one-time benefits recorded in this year’s fourth quarter related to a favorable inventory adjustment. On slide 10, excluding special charges, selling and administrative expenses as a percent of sales for the fourth quarter of 2012 and 2011 were 18.8% and 18.3% respectively. We were able to maintain a relatively consistent spend rate in 2012 on the strength of over $6 million in streamlining expense savings, which acted to offset sales volume declines, which would have negatively impacted results by 180 basis points. Over the past two years, we have achieved consistent improvement with SG&A spend lower by over 400 basis points when compared to the levels of 23% to 24% of sales incurred in the 2009 and 2010 timeframe. Research and development expenses were 3.8% of sales in the fourth quarter of 2012 relatively similar to the previous two post streamlining quarters and lower than the 4.3% in the fourth quarter of 2011. In the near term, we expect our R&D spending rate to remain in the range of 3.5% to 4.0% of sales. Turning to slide 11, Rogers ended the fourth quarter with a cash and cash equivalents position of $114.9 million as compared to $91.1 million at September 30, 2012. As represented in the slide, we have continued to manage cash in a manner to maintain sufficient liquidity reserves for our current and future needs. Despite the overall depressed economic conditions in our market, in the past year, we have improved our net debt metric to a positive $16.9 million position, representing an almost $60 million improvement. For the fourth quarter of 2012, the net increase in cash was primarily attributable to strong cash generated from operations of approximately $26 million, including an over $15 million improvement in working capital primarily related to reductions in accounts receivable. Those amounts were offset by capital expenditures of $7.3 million and long-term debt repayments totaling $8 million, of which $5.5 million represented a discretionary repayment against our credit revolver and $2.5 million was a scheduled repayment against our term loan facility. We currently have $98 million of long-term debt outstanding, down from $122.5 million at the end of 2011. Turning to slide 12, for the first quarter of 2013, we forecast net sales between $129 million to $133 million and earnings from continuing operations on a non-GAAP basis, excluding any special charges between $0.57 and $0.61 per diluted share. At the midpoint of this guidance – at the midpoint, this guidance represents an over $10 million or 8.8% sales improvement versus Q1, 2012 sales from continuing operations. From a profit perspective, earnings per share are projected to be $0.33 per share higher, a 126% increase when compared to the $0.26 in non-GAAP EPS reported for the prior year first quarter. These improvements are derived from a projected $8 million increase in pre-tax income, which is primarily attributable to three factors. Margin contribution of $5 million or 47% of the forecasted sales increase, which is approximately 3% lower than our average contribution of 50% due to a slightly negative mix from prior year Q1. Operating profit improvement of $5 million related to our annualized benefits from our streamlining programs with those offset by approximately $2 million of higher commercial spending driven by investments in sales and marketing and driving our efforts toward double-digit growth as well as higher scheduled intangible amortization expense related to our Curamik acquisition, higher compensation costs, and other general inflation. This concludes my remarks. And I will now turn the call back over to Bruce.
Bruce Hoechner: Okay, well thanks Dennis. We will now open up the call for questions. Sarah?
Operator: (Operator Instructions) Your first question comes from Daniel Moore of CJS Securities. Your line is now open.
Daniel Moore - CJS Securities: Good morning.
Dennis Loughran: Good morning Daniel.
Bruce Hoechner: Hi Daniel.
Daniel Moore - CJS Securities: First, can you perhaps talk a little bit about you constantly have new products ramping up in terms of production and volume while at the same time older legacy products winding down? As you look at the current portfolio, could you maybe highlight one or two of the new products or applications that are sort of moving from testing into production and at the same time are there any significant products that are expected to decline at an accelerating rate as we look out to 2013?
Bruce Hoechner: Great question. So, on the new product side, we have talked in the past and this past year, we saw some very good developments with our antenna, smart antenna systems. And so we’ll continue to see that evolve and we continue to come out with newer products to build out in that market area. Similar situation over in the molded PORON, the consumer side of our phones business, where we saw doubling, essentially doubling of the sales during 2012 versus 2011 up to over $8 million in sales from $4 million in the previous year. And we continue to introduce new grades of material there to address needs that the sporting goods and the apparel makers have. We have also introduced casting foam on fabric, which is an interesting opportunity for us as we move forward in that market. And as I look at products that are going away actually I look at it from a market perspective, and I would say the markets that we look at and we are a little bit more concerned about would be the areas of wind and solar, particularly wind, where we have seen some decline – some significant decline over the past year in that market. And so those would be, I focus more on how we are doing in the markets and the decline that might go on in a specific market. But Rogers has had a very good history of finding applications for our technology in new markets. So, as these markets decline we go out and utilize our technology in other areas and apply it there. So, we have many things that are still moving through our R&D and out into production that we tend not to talk about until we get it out there, but related to those growth areas in those markets that we talked about.
Daniel Moore - CJS Securities: And just as a quick follow-up in terms of wind and solar, we haven’t talked too much about those, do you see those sort of by having bottomed out or potential for additional declines as we get into 2013?
Bruce Hoechner: We think things have pretty much bottomed out there, wind and solar only account totally for Rogers of about 5% of our sales. And we’ve seen specifically over in the solar side, I would say some, maybe some pickup here not really significant pickup, but certainly stabilization. And we’ve seen some applications that we believe will come through particularly CPV during 2013. On the wind side, it’s a very tough market there. We will see some sales going there this year in 2013 mostly around building out some of the infrastructure that was in China that needed to have better grid connections and so we’ll get some business there. But generally we see those markets as bottomed and kind a moving along sideways.
Daniel Moore - CJS Securities: So, lastly with 4G improving China infrastructure spend maybe coming through later in the back half of the year auto-detection systems. I guess is there any reason not to expect revenue to increase sequentially as we move out throughout the year, obviously things can change, but as you look at right now?
Bruce Hoechner: Yeah, this is an exciting area for us. We are very positive on the build out of – the continued build up first of all of 3G in China, the conversion of some of the 3G in China to 4G and then significant build out as well. Not only in China, but by the U.S. providers AT&T, Sprint, T-Mobile and so forth, we know their capital spending will come in this year, of course things can always change if conditions change, but this is a very positive area for us. The other one that we are very excited about in the PCM side or the circuit board side is in the blind spot detection. We saw a lot of focus on that in 2012. We know based on some of the safety regulatory areas particularly in Europe, this is going to be an application that will get a lot more attention. We also had some various good breakthroughs and application work done over the past six months moving from the 24 gigahertz systems to the 77 gigahertz systems. And Rogers is in both areas, both application areas well positioned for growth. So, whether the automakers chose one or the other, we are in great shape.
Daniel Moore - CJS Securities: Helpful, I will jump back in queue.
Bruce Hoechner: Thanks.
Operator: Your next question comes from Shawn Severson of JMP Securities. Your line is now open.
Shawn Severson - JMP Securities: Thank you good morning gentlemen.
Dennis Loughran: Hi, Shawn.
Bruce Hoechner: Good morning.
Shawn Severson - JMP Securities: I was wondering if you could differentiate a little bit between I guess what talking about Clean Tech business in China and China back to Curamik and versus kind of industrial activity levels and a recovery in China. Just trying to understand as we look at an economic recovery into this program China what that means for general industrial activity and how are you seeing that today which you expect for the next quarter?
Bruce Hoechner: Great, I’m going ask Bob Daigle to take that one.
Bob Daigle: Good morning Shawn. It’s Bob Daigle.
Shawn Severson - JMP Securities: Good morning.
Bob Daigle: Yes, so I guess dissecting that a little bit I think part of what we have talked about in the past and I think is relevant to this discussion is a lot of headwinds we faced in 2012 in this business were also attributable to inventory that had built up throughout the supply chain it wasn’t just our substrate at the semiconductor fabs, it was also inventory at the equipment makers. So, we’ve got that is cleaned up. And in terms of how China plays out. Yeah, absolutely I think if we start – as we start to see more infrastructure spend, more capital spend in places like China that will clearly benefit the – we would expect that to benefit power semiconductor industry and with our high share of that market we would expect to see that flow through. And as Bruce mentioned in his earlier comments again we’re starting to see more confidence build amongst our direct customers and that our backlog has been coming up nicely at Curamik.
Shawn Severson - JMP Securities: But it’s safe to say it didn’t have much impact certainly in the December quarter, but there is some recovery built into the guidance for the first quarter and that specifically to China in that comment?
Bob Daigle: Yeah. We are still being pretty cautious Shawn, but I would yeah, but the backlog improvements really starting to show up second half of December and have continued to look favorable.
Shawn Severson - JMP Securities: And then second Bruce I know one of the initiatives you’ve tried to put through the organization, then more progress in pricing and potential pricing power with your products. And I am just wondering if that is where you are in that process and you put in through yet or is this something that’s still being analyzed and then expected to be put through sometime late this year, but I know it’s going to be bit-by-bit, but just where you are in the process?
Bruce Hoechner: Yeah, the word we have put through in the last I would say six months or so some pricing moves in some of our businesses. Now, as we know moving prices is never an easy thing and really what we are doing is some of our existing products we found undervalued and we move them up, but a lot of the work is going in as we introduced new products to make sure that we are value priced appropriately for the performance that we are giving our customers and what we are enabling them to do. So, this is I think as you rightly point out sort of a longer term activity, but it’s something that we continue to be focused on and in our current product mix where we can move, we have and I’d say we probably moved maybe 5% of our business, 5% to 10% of our business on pricing in the last six months and that’s been across the business as not any specific one.
Shawn Severson - JMP Securities: Okay. And then lastly just an update on Theta high-speed networking market, things that are happening on that front, I know again now at some point in 2013, we should see more of a pickup, but just an update will be great thing?
Bruce Hoechner: And we talked about this, I think last quarter around our high-speed digital strategy. What we had found as we looked at the market was that the market was moving very rapidly to ultra-low loss requirements. So, the speeds were increasing. And what we found is that our Theta product, which is targeted for mid-loss is adequate, but what we believe we need to do is spend more time and effort on the research side to develop the ultra-low loss performance. So, we’ve pulled back from the investment that we had setup for our Arizona facility for what I would say mid-loss. And we are now evaluating what we want to do in that market and really focused much more on developing the right products to where the market is going, not to where it is today. And we think we have got some good leads there. And we think we’ll be certainly leading edge in that area. So, I would not expect a lot of strong growth on the high-speed digital this year. We will continue to support Theta and continue to develop those customer relationships, but our real focus is probably 1 to 2 years out on the ultra-low loss.
Shawn Severson - JMP Securities: Okay. And I just know that was kind of my question as I mean we expect casting this year or are we expecting casting more in 2014 in a real commercial product, I just had a couple of years out?
Bruce Hoechner: I am going to ask Bob to take that one as a CTO.
Bob Daigle: So, Shawn, we are in the process of customer evaluations, but this is usually a multi-year process and that we would expect qualifications to begin in the next 12, 18 months and then it starts to rollout. And what we are really trying to do is as Bruce pointed out is really position Rogers in an area which we think there is going to be frankly more value than at the low end and that overlaps quite well frankly with our capabilities from a technology standpoint. Since this is an emerging industry, the goal is always try to position ourselves. So, we can gain a pretty large share of this as it emerges, but we shouldn’t be thinking of this as impactful in the next 18, 24 months, this is a little bit further out.
Shawn Severson - JMP Securities: Great, thank you.
Operator: Your next question comes from Avinash Kant of D.A. Davidson and Company. Your line is now open.
Avinash Kant - D.A. Davidson and Company: Good morning, Bruce, Dennis, and Bob.
Bruce Hoechner: Hi Avinash.
Avinash Kant - D.A. Davidson and Company: A few questions. So, first trying to understand the new program opportunity that you provide us, it looks like on a sequential basis, the new programs actually went down from 793 to 716, which does mean that looks like many of them may have been converted into products. Could you give us some more color in terms of how this works and what’s the magnitude of business that you could get from these newly converted products?
Bruce Hoechner: So, and you are exactly right Avinash, what happened in going from Q3 to Q4 was a lot of our design-ins went into production which is obviously good news. And the comparison that I made was a year-on-year comparison, so our funnel of new opportunities continues to grow. When we look at the amount of money that’s there I mean it will vary by product, application and so on. So, it’s very hard to hone in on specifically there is $50 million in the funnel because that moves around depending on the – what we are doing on the application side. But what I would take away from this is that we continue to get the wins with our OEMs and with our customers that we believe positioned us well. And as I have said a lot moved into production over the last quarter, so what we should see is going into 2013 those opportunities getting built out and we will see them in the bottom line.
Avinash Kant - D.A. Davidson and Company: So, what I wanted to understand is that if there is ever a change in this number is it only because the products went into production or there could be some other factors that impact this number too?
Bruce Hoechner: Yeah. And again in true transparency we did some clean up in fourth – going from the third quarter to the fourth quarter and some of the opportunities that had been in the hopper for maybe 18 months to two years, we pulled them out. And what we have done to the process is instead of having this being more of an annual process where we have our sales team and our applications team clean it up we are going to a quarterly cleanup process. So, the noise quarter-to-quarter should be less and certainly not to some of the magnitude that we saw going from Q4 – Q3 to Q4. So, that’s a little bit of our learning and our fixing of our process. But I would say the majority went into production and some of these other ones just got pulled out because they were cancelled by the customer.
Avinash Kant - D.A. Davidson and Company: Right because that’s what I was going to ask, of the 77 products that got taken out sequentially, if you could give us some idea about how much was the cleanup and how much were new products?
Bruce Hoechner: The cleanup was let’s see, about 43 went into, exactly 43 went into production. So, out of that – so the rest was a cleanup.
Avinash Kant - D.A. Davidson and Company: Very good and in terms of the – you talked a little bit about the content was reduced in some of the electronics products for the cushioning applications, could you give us some idea of what do you mean in terms of the opportunity per device before and now?
Bruce Hoechner: Yeah, well in terms of the opportunity what we have seen over the last I would say year to 18 months particularly in the smartphone area is the movement to a display AMOLED which is the active matrix organic LED displays, which don’t require a gas kit. So, that has removed from the opportunity for our gas kitting material. What we are doing is we are working very closely with the OEMs because these handsets still require cushioning and impact performance. And so we have – we are now developing products and have come out with a few products that address this and it’s a more overall cushioning that’s required in the back side of the unit rather than around the display. So, it reduces some of the content level that we might have had maybe two years ago or so in a smartphone, but we still have reasonable content there. And of course on the tablet computers, we continue to see very strong growth there and our performance in market share is very high and we continue to see wins there. So, there has been a shift in some of that technology like I said on the smartphones, but again overall that gas kitting is still moving along quite nicely for us.
Avinash Kant - D.A. Davidson and Company: Okay and a few just numbers actually could you give us the depreciation and amortization number for the quarter?
Dennis Loughran: Sure Avinash.
Bruce Hoechner: This is Dennis.
Dennis Loughran: This is Dennis.
Avinash Kant - D.A. Davidson and Company: Hey Dennis.
Dennis Loughran: Q4 depreciation $5.2 million, Q4 amortization $1.1 million for a total of $6.3 million.
Avinash Kant - D.A. Davidson and Company: And one final question, it looks like the charges in the Q1 are expected to be roughly $0.03, is this pretty much the end of charges we will see or we could see further charges going forward based on some of the moves that you already have planned?
Dennis Loughran: When we announced and discussed the Hungary move for Curamik we have indicated there was about $750,000 because we have three quarters worth of moving people and continuing to restructure a little bit most of that being severance and just relo and training charges as we move through. So, that’s typically what we have in the $0.03 there was a little bit of severance related to some position reductions in the first quarter, we don’t expect that to continue. So, we are looking at about $0.01 to $0.015 per quarter for three quarters related to Curamik.
Avinash Kant - D.A. Davidson and Company: Perfect. Thanks so much Dennis. Thanks Bruce.
Dennis Loughran: Thank you.
Operator: Your next question comes from Jiwon Lee of Sidoti & Company. Your line is now open.
Jiwon Lee - Sidoti & Company: Thank you and good morning.
Bruce Hoechner: Good morning Jiwon.
Dennis Loughran: Hi Jiwon.
Jiwon Lee - Sidoti & Company: Bruce, I wanted to kind of quickly go back to the PCM side of things and wonder if you can compare your growth expectations between 3G and 4G and perhaps the automotive radar applications?
Bruce Hoechner: Well, 3G and 4G is a little bit tough to compare, although let me make a couple of statements here of leading indicators. In our higher content 4G application where we have with one OEM, we’re starting to see that takeoff. So, we’ll start seeing that impact this year. In terms of 4G and 3G comparisons, what we are seeing particularly in China is that we know that the Chinese will deploy or they will claim they will deploy about 200,000 base stations. And we have heard informally that it could be as high as 400,000 base stations. Now of those base stations some of those are 3G and some of those are 4G. And even the 3Gs are getting upgraded to TD-LTE capability. Some of that will impact the need for our circuit board technology, some of that’s done with software. So, it’s a very difficult prognosis to look out across 2013 and say with certainty here is the 3G, here is the 4G because there is the mixture of the technologies with some of the work that Chinese particularly have done in moving from a 3G to 4G base station. But I will say overall we’re – we have a very positive outlook this year on the growth in that market. For blind spot, I will also say that we’re very positive on that as well, as well as the antenna systems and we believe the smart antenna systems that are going into the 4G will be even a higher percentage growth rate than what we are seeing for the base stations because we are winning market share away from bent metal. And so in that case we’ll see even a higher growth rate for that application.
Jiwon Lee - Sidoti & Company: Okay, well, that’s helpful. Thank you. And kind of moving back on to foam side, could you sort of take a swing at your market share in smartphones versus the tablet and I thought your comments on the AMOLED was very, very helpful?
Bruce Hoechner: So, in terms of market share we participate I would say in almost every handheld device that’s out there. The real question becomes what is the content in each of those devices. And in the tablet computers because as I mentioned there are – they require gas kitting getting around the display. We have a much higher content per unit than we would have in a smartphone where our cushioning would be on the back side or around the microphone or around the camera. And that would be certainly less than what you would see in content on the tablets. And the amount varies I would guesstimate or estimate that the content in a tablet would be anywhere from $0.30 to $0.50 per unit. And on a smartphone it can be anywhere from $0.05 up to $0.25 to $0.30 depending on what the technology is for the display and the use of our foam technology in other needed areas in the smartphone.
Jiwon Lee - Sidoti & Company: But is it fair to say Bruce in each of these markets you have up to 50% of the market share especially on the smartphone or more of the tablet side?
Bruce Hoechner: We would, well certainly on the tablets we would say closer to 90. On the smartphones, I would say in the 60s.
Jiwon Lee - Sidoti & Company: Okay, very helpful. And sometimes, the company sort of took a swipe at the annual revenue out log, would you care to take a swing at what that might look like for this year?
Bruce Hoechner: Well, actually, we’d like to do quarter-by-quarter, because as demonstrated last year and even going into Q4 of 2011, the visibility of more than a quarter out is very, very difficult for us. And a lot will turn this year on industrial capital spending that could have a huge impact going forward, particularly in our Curamik business. So, it’s very difficult for us to do more than a quarter at a time.
Jiwon Lee - Sidoti & Company: Okay, fair enough. And lastly for Bruce if I may the CapEx last year was under $25 million, what’s the plan for this year and where?
Dennis Loughran: We are doing…
Bruce Hoechner: Go ahead.
Dennis Loughran: I’d tell you for 2013, it’s about $28 million is the current expectation. That will be mostly across the board in terms of our growth. We are finishing the trader in circuit materials. We will likely start spending on installation of a press, the one that we looked at related to the high-speed digital delay that press will likely start to go in at some location later in the year. Our polyurethane foams will likely start late in the year to look at the initial capital spend on what they would need for new capacity at the end of 2014 or into 2015. And we won’t need much capital expenditures in Curamik as they are running at such a low pace. We will spend a little capital to install equipment as they move into Hungary. So, in general, that $28 million has a little bit of growth capital in it, in our normal maintenance capital, which is probably in the $15 million to $16 million range replacement and reconfiguration and those kind of things you want.
Jiwon Lee - Sidoti & Company: Okay, very good. Thank you so much.
Dennis Loughran: Thank you.
Operator: Your next question comes from Dana Walker of Kalmar Investments. Your line is now open.
Dana Walker - Kalmar Investments: Good morning.
Bruce Hoechner: Hi, Dana.
Dennis Loughran: Good morning.
Dana Walker - Kalmar Investments: Dennis, let’s start with you, could you in the same way that you provided the year-over-year relationship taking – starting with the top line and working down through the P&L, can you do that for the first quarter versus the fourth quarter comparison? Is all that commercial spend is that a $2 million delta versus the fourth quarter level?
Dennis Loughran: I can certainly do that for you, Dana. We are looking in the first quarter, first of all, sales and contribution at the midpoint of the range, we would be up about $6.5 million from the – we are looking at the obviously from continuing operations sale in the fourth quarter of $124 million up to $131 million. We have a contribution built in of about 53% to generating $3.5 million, which is about average for us. When you look at commercial spend, we will be up about $1.8 million in total. In the first quarter, as I describe our year, we are going to, I mean, start with that first and we’ll talk about the first quarter, because it’s slightly heavier in the first quarter. We spent about $94 million of SG&A in 2012 on a non-GAAP X one timers basis. We will be up about $11.5 million in total in 2012. Of that $11.5 million, $6.6 million will be annual incentive compensation against what we believe will be significantly improved sales and profitability. And so we need to start accruing for that. It’s obviously a self funding program. So, if we don’t make the targets it would go away. We had nothing of that expense in 2012. We have $1.3 million in total related to the scheduled amortization of intangibles related to Curamik. Each year, there is a different level that was preset when we acquired the business, so about $400,000, $350,000 a quarter related to that. And then you have about $4 million to $4.5 million of inflationary costs and program costs in sales and marketing and admin with about $3 million of that $4 million related to sales and marketing, and $1 million related to admin. So, the $1 million is sort of the controllable cost that we are streamlining down to and we are holding it to about 2 percentage points of inflation even though we have merit pools and then looking at other inflationary costs through the system. So, we think we are really holding on to those costs, but with targeted double-digit growth that $3 million of spend on sales and marketing, we believe is investment based spending to make sure that we are behind those kind of programs. So, when you look at that it’s about $3 million a quarter average. We are going to be at about $2 million to $2.5 million in the first quarter because payroll taxes for example are heavied up in the first quarter not only your people are starting to pay FICO again at the full rate and also above the Medicare rate we will also have FICO related to equity compensation accrual. So, you have between $300,000 and $600,000 related to that. We have certainly kicked off marketing programs and things that were not in the fourth quarter, so I believe we have between $500,000 and $700,000 of whether it’s customer meetings, conventions those kind of things that kick of the New Year. So, it is a little bit heavier in relation to the sales total going in, but when you look at subtracting that net of about $1.9 million from the contribution, we will be up about $1.8 million of operating income on $6.57 million of sales or about a 27% operating profit contribution. We do have two other – below that line we had two negatives. JV income and other income – and other expenses will be about $0.5 million negative to the fourth quarter. Volumes were down in Japan a little bit, that is a very volatile set of gaming kind of applications. And we are expanding a little bit more in other income because we are – we had implemented as we discussed in the fourth quarter impacted copper hedging and FX. We are putting a little bit money into option contracts related to copper in hedge to offset some of those exposures that we have compared to the fourth quarter. The last big impact is taxes. We ended up in the fourth quarter with about when you look at excluding discrete one-time items because of the GAAP rate was a big double hundred digit rate. We had about 21% non-GAAP tax rate excluding one-timers. We are projecting 28% for the year, because basically in talking with our tax rates, we are going to be earning more money in higher tax jurisdictions during 2013 than we did in 2012. So, we have got about $1.2 million negative tax impact quarter-to-quarter because it’s all being accrued at 28 as opposed to the 21. Now, going through the year we have certain things that happen that end up as discrete items. Late the year true-ups and those kind of things that may differ with that rate but we start out at a statutory rate minus the benefits that we know about and can accrue for starting in the year, Dana. So, we got about $0.01 improvement. Excluding the taxes and the JVs, we would have gotten about an $0.08 improvement, which would have been above expected.
Dana Walker - Kalmar Investments: Dennis in all my 30 years that is the most fulsomely comprehensive answer I have ever heard, I love it.
Dennis Loughran: You’re welcome.
Dana Walker - Kalmar Investments: I don’t have any more questions related to that I couldn’t – can’t even think of anymore. But let me move to something else. Would you folks believe that from a printed circuit board capacity standpoint that you are relatively set to address this up-cycle?
Bruce Hoechner: Yes, we believe that we are in very good shape. We have got with the trader coming on in terms of capacity in China that will come up we are doing the startup now or I should say into March, so that will come up full in mid-summer and we will do customer qualifications. So, we will be in very good shape that was a limiting – a capacity limiting factor for us was the trader. The next thing that we will be looking at is the press and we actually have the press already built, it’s just a question of where we are going to put it. And so I think the upside is coming, we believe it and we are getting ready from the capacity perspective to make sure that we don’t disappoint anyone including us. So, I think we are in great shape. And from a technology perspective, we continued to evolve and develop products that are responding to the dielectric needs that our customers have expressed to us. And some of this stuff is not so easy and we have made some good in-roads.
Dana Walker - Kalmar Investments: You are describing a rosy sense your view at the blind spot detection markets as you assess the opportunities there and/or the number of platforms that, that might be on car wise, how does that number compared today versus what you might have – how you might have responded a year or so ago?
Bruce Hoechner: Well, in terms of the units, our belief is that it’s going to accelerate. We had thought that by 2016 we will start seeing some real uptake at the mid-market level. What we are seeing now is we believe in 2013/2014, we’ll see some real significant growth in the mid market and lower markets. We talked about a little bit about the five-star rating that the Europeans are talking about need to have these radar systems as almost part of getting that five-star rating. We believe that approach will show up here in the U.S. as well. And so that will drive down into the mid market. And we can look at industry data, automotive industry data, I am sure we can pull that out and specifically look at the units that people are projecting, but I would say I am much more optimistic than even a year ago in how this is going to accelerate up. We still believe and right now we are not doing anything different than projecting about a $3 to $4 per car unit use of our materials.
Dana Walker - Kalmar Investments: Bruce, is it your view that your material has advantages and that you are not likely to seeing competitive incursion in that market?
Bruce Hoechner: Yeah, I am going to ask Bob to comment on that.
Bob Daigle: Yeah, Dana, we have which has often been the case with when we target a particular application area and develop the products. We have solutions that are very much differentiated and very much enabled some of these systems from a cost standpoint for the OEMs. So, we have managed to capture it’s definitely we think north of 80% or 90% share in these instances at the 24 gigahertz. And as Bruce talked about earlier, we have put a lot of effort frankly to make sure we want in a similar fashion in the 77 gigahertz system. So, that regardless of what the OEMs chose to utilize, we’d be in good shape. And then again it gets back to you see market studies out there that have some pretty high penetration projections out in 2016. And this recent news where at least what I have been reading in Europe is their goal is to reduce fatalities by 50% in Europe from 2010 to 2020 with the new star rating system that they are adopting, they definitely start to raise the bar in 2014 and it continues to rise through 2020. And even in 2014, they are looking at data frankly that says the driver assistance systems are very effective in reducing accident rates, and they have increased the weighting of these systems and how they score for 5 stars. So, that ball is very, very positive for us.
Dana Walker - Kalmar Investments: With all of those social spending requirements, they can’t afford to let people die. Two last quickies, perhaps someone can tackle the dynamics that you see in your non-mobile handset mobile device phone business as you look out over the next several years?
Dennis Loughran: Industrial and…
Bruce Hoechner: Industrial and consumer, okay. So, on the – aerospace, so on the industrial side, we see continued strong position for our materials in the foam area, XRD was introduced there and it has been accepted quite well. And so that it’s an industrial growth that we are talking probably high single-digits for those kinds of applications. I would say certainly on the molded PORON where I spoke a little bit earlier about consumer side, we see this as a real upside for us. We are right now installing a new machine in our Woodstock facility to make molded PORON, this is our second machine. And the demand there is, I should say, maybe outstripping our capacity at this point, but we are busily investing there as well. So, that’s the real upside for us. And it will require us and part of the spending that we are talking about here in the marketing side is for us to understand much more about the consumer market. So, we are investing there in market studies and so on. So, we can put together a comprehensive strategy on the consumer side that will help us to grow even in a greater position. And also balance out the portfolio versus industrial and handheld side.
Dana Walker - Kalmar Investments: And final thought would be this on Theta as you think about the way the market has worked away from mid-loss towards ultra-low loss. And you talk about your marksmanship on figuring out where markets have gone in the past and some of your core areas, how do you feel internally about the way you scoped this market out and whether this is really a good market for Rogers from a specialization standpoint?
Bruce Hoechner: I’ll ask Bob to comment on that.
Bob Daigle: Yeah. So, Dana, if you think about what has driven our success in the wireless space and whether its infrastructure and base stations antennas or these radar systems what we are providing to customers is electrical performance, it’s premium electrical performance. And as we start to – yeah, as we have studied the market and we are looking at where things are going in the digital world, everyone is trying to drive towards the 30-gigabit towards a 100-gigabit per second switches and why are they doing that because of data traffic. And you’ve got wireless data traffic pretty much doubling every year. You’ve got the internet backbone with video on demand, demand driving up 30% per year. So, they are driving to higher speed switches which plays very much to our strength, because the frequencies, the switching speeds they are talking about require higher electrical performance materials than what’s out on the market today. So, this intersects very well with our core technology capabilities and we think this is a space that we are frankly well positioned to carve out a strong position for Rogers, but again it’s a three-year kind of three to five-year kind of process here for that to become the mainstream.
Dana Walker - Kalmar Investments: My question though I suppose focuses on the fact that you thought that of the mid-loss would be opportune for you and now that’s looking less, so I am not sure I am asking the right question, but is there something there about the targeting of where the opportunity is and/or where you can competitively protect yourself? Is this likely to be a different market compared to what you have specialized in the past?
Bruce Hoechner: So, I think what our learning was as we look at the mid-loss market, it’s a pretty crowded field, and more competitively intense than even we thought coming into it. That’s part of our re-look at this strategy. I think the second thing is there is a big technical hurdle here for ultra-low loss. And we believe we have the capability to address the technology needs whereas at mid-loss, there is many players in there. And so we think this technology hurdle in ultra-low loss plus our now greater knowledge of the high-speed digital market, because of our foray over the last year or so into that market at mid-loss positions us well in the longer term. So, to be clear, I would not expect much performance from us on a sale side in high-speed digital over the next year to 18 months as we get focused on the ultra-low loss and move that market forward.
Dana Walker - Kalmar Investments: Thank you and good luck.
Bruce Hoechner: Thanks.
Dennis Loughran: Thanks Dana.
Operator: Your next question comes from Ralph Reese, a Private Investor. Your line is now open.
Ralph Reese - Private Investor: Good morning. I have asked this question before, each time I get the same answer we are looking at it, that is the dividend?
Bruce Hoechner: So, Ralph, again the answer from a fiduciary responsibility, this is the board needs to look at this every year and they do look at it every year. Let me step back though and say that Rogers is a growth company and we continue to make investments in our growth and that requires the use of cash for that. In addition, our strategy is inclusive of acquisitions. And so again, to do that in the right approach requires us to use our cash as well as debt moving forward. So, this is your question is brought before the Board every year and we look at from a strategy perspective what we’re trying to accomplish as a company and then the Board makes this determination and how they want us to proceed.
Ralph Reese - Private Investor: Thank you.
Bruce Hoechner: Okay, thank you, Ralph.
Operator: Your next question is a follow-up from Daniel Moore of CJS Securities. Your line is now open.
Daniel Moore - CJS Securities: Thank you, once again. Balance sheet in as good shape as it’s been since anytime prior to the Curamik acquisition $15 million in net cash and growing. What does the acquisition pipeline look like and following that I guess is a follow-up how long would you be comfortable building cash on the balance sheet?
Bruce Hoechner: So, from an acquisition perspective in a broad sense we continue and we have a team working on this on a daily basis to analyze and review opportunities for acquisitions. Whether they are acquisitions that help us build out in our current markets and give us a better position, whether they are also technology acquisitions that might not have a lot of sales, but have some interesting technologies that we believe we can apply in our markets moving forward. So, I would say the strategy certainly over the next 12 months to 18 months around acquisitions is looking closer into what we do and trying to build our position whether from a market based perspective or from a technology perspective. So, we will continue to build our capability to make those acquisitions. And as I said this is part of our forward-looking strategy in addition to the organic growth side.
Daniel Moore - CJS Securities: Okay, thank you.
Bruce Hoechner: Sure
Operator: (Operator Instructions) Your next question comes from Alan Mitrani of Sylvan Lake Asset Management. Your line is now open.
Alan Mitrani - Sylvan Lake Asset Management: Hi, just a follow up on the acquisition size. Can you give us a sense of what size acquisitions you are looking at and also you’re seeing multiples going up. It seems like we are hearing that from other companies?
Bruce Hoechner: Generally, we are looking at acquisition sizes in terms of revenue between $50 million and $150 million, $150 million would certainly be the top end. We are not so interested unless it’s a very specific technology to do something smaller than that because the work involved in integrating any acquisition is the same whether it’s generally whether it’s a $50 million or a $20 million. So, that’s the approach that we’re looking at. And we have seen multiples starting to move that’s we’ve heard it, we’ve seen it and anytime that we look at an acquisition, we will be looking for the value that we can bring and our position is we’re not going pay for any synergy that’s brought to Rogers will pay with a fair price, but we’re going be pretty tough on and what we pay.
Alan Mitrani - Sylvan Lake Asset Management: Great and do you think you are close to say any acquisitions further for 2013?
Bruce Hoechner: We don’t comment specifically on whether we are close or not because of the sensitivity of anything like that.
Alan Mitrani - Sylvan Lake Asset Management: Okay, also and the second question. Can you talk about the wireless business or wireless base station business and others, what percentage or how much of your business is in Americas in North America?
Bruce Hoechner: For that business I would say about 25% or so. A lot of that business is global both Europe and probably majority in Asia.
Alan Mitrani - Sylvan Lake Asset Management: Okay, so you referenced in an earlier on you were talking about you expect AT&T and other one start spending money on CapEx this year to upgrade more of those sites, self sites and others. Are you seeing that spending now it seems like those big companies start early and if they’re going spending build through the year especially through the summer months, can you tell us where they stand in terms of their spending are you seeing it already stepping…?
Bruce Hoechner: We’re starting, again it comes through the OEMs the manufacturers of the base stations and we are starting to see some up-tick there, so that will flow through. Now from Rogers’ perspective, the manufacturing of a lot of these base stations is done in Asia. So, we would see the sales coming through our Asia organization, through some of those global OEMs. So, whether it’s an AT&T or whether it’s a China mobile, the demand would be placed on Rogers most likely in Asia.
Alan Mitrani - Sylvan Lake Asset Management: Great and lastly you talked about having really only visibility for one quarter. What metrics do you look at on a week-to-week or month-to-month basis to be able to see that your business is gaining the right momentum or that you are on track to be able to meet or exceed your estimates? Is it weekly sales data you are getting, is it backlog numbers, new orders, can you just give us a sense so that we can be able to understand how you see your business?
Bruce Hoechner: So, part of it is backlog. We do look at backlog as a predictor of the future. And as I mentioned certainly on the Curamik side we have started to see the backlogs increase. So, that to me gives me some confidence that certainly things have stabilized in that business. And moving forward, we should hopefully see some up-tick there. We also look very carefully at our design winds. And as I mentioned in Q4, we saw design wins moving over into production. So, we have a very good understanding of which of those design wins are moving over generally and so we can build that into our forward planning. But again the visibility beyond the quarter is very difficult. So, those are the two major areas of focus for us.
Dennis Loughran: This is Dennis, I will additionally comment I think you are probably new to our calls. The design wins Bruce talked about was the new incremental ones, but our position in many of our markets is predicated on the design wins from the past. So, when we talk about over 90% share of 4G and over 65% share of 3G that gives us the flow as we can look at external metrics for cap spending in those areas and look at market forecast and we know what our share is. So, we can follow and link to public data on that kind of stuff to give us the confidence further out that there is either strength or no strength in many of our markets.
Alan Mitrani - Sylvan Lake Asset Management: Thank you, I appreciate that and I am roughly new to your calls, so I appreciate the color, also on backlog, did you give backlog quarterly, I’m looking at it of the press release, I don’t see it?
Bruce Hoechner: We don’t – do not give that quarterly.
Alan Mitrani - Sylvan Lake Asset Management: Is that something that you think is not relevant just because it’s a book and bill business most of it or is that something you may give in the future?
Dennis Loughran: It doesn’t correlate very well by business-by-business very different because we have four segments that all operate a little bit differently. And we haven’t found one metric that would make any sense to disclose at this point.
Alan Mitrani - Sylvan Lake Asset Management: Great, thank you.
Operator: There are no further questions queued up at this time. I will turn the call back over to Mr. Bruce Hoechner for closing remarks.
Bruce Hoechner: Thanks, Sarah. So, moving forward, we are seeing positive indicators as we’ve talked about during the call today across several of our markets particularly those supporting internet growth, mass transit and automotive safety. The streamlining and operational improvements we began in 2012 have positioned us well as markets improved. We believe that all of our businesses have strong growth prospects as we look towards the future. We have remained disciplined in our focus on delivering greater value to our customers and to our shareholders in 2013 and for years to come. So, thanks a lot for joining us today. Lots of good questions and we’ll talk to you next quarter.
Operator: This concludes today’s conference call. You may now disconnect.